Operator: Good morning everyone. My name is Kelsey and I will be your conference operator today. At this time. I would like to welcome everyone to the Auxly Cannabis Group Q1 2022 Earnings Results Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session from the company's financial analysts. [Operator Instructions] Thank you. Ms. Cannon, you may now begin your conference.
Julie Cannon: Thank you, operator and good morning, everyone. Thank you for joining us for Auxly Cannabis Group's first quarter 2022 financial results conference call. A replay of this call will be archived on the Investor Relations section of Auxly's website. Will start the call with a presentation and corporate update by our CEO, Hugo Alves, followed by a recap of our year end financial results by our CFO, Brian Schmitt. Before opening the floor to questions from our financial analysts, joining us for the question portion of the call will be our president, Michael Lickver. I encourage you to follow along the presentation slides, which are posted on our website under the Investors section, under presentation. Before I turn the call over to Hugo, I'd like to remind everyone that our discussion today includes forward-looking statements that are based on assumptions that are subject to risks and uncertainties that could cause actual results to differ materially from the views expressed today. Management can give no assurance that any forward-looking statement will prove to be correct. Forward-looking statements during this call speak only as the original date of this call, and we undertake no obligation to update or revise any of these statements except as required by applicable law. Management refers to the cautionary statement and risk factors included in Auxly's disclosures. I note that all references on this call are to Canadian dollars unless otherwise stated. And with that, I'll turn it over to our CEO, Hugo Alves.
Hugo Alves: Thank you, Julie. Hello and good morning everyone and welcome to our Q1 2022 earnings call. I'm going to start the presentation on slide five of our deck. And as I mentioned on our last earnings call back in March, our main goal this year is to improve revenues and gross margins and achieve adjusted EBITDA profitability. Brian is going to present the financial results later in the presentation, but at a macro level, we continue to advance towards that goal. We grew revenues 147% relative to Q1 last year, thanks to strong consumer demand for our products. We also improved adjusted EBITDA by 14% year-over-year and we continue to get tighter on costs. This was the first quarter that we picked up a full quarter of Auxly Leamington expenses on our statements, and we still managed to decrease SG&A slightly quarter-over-quarter. And we ramped up production at our Leamington facility to now 75% full utilization and we'll start to see the impact of that extra yield on our revenues here in Q2. And of course, it's winning with our consumers by providing them quality products under brands they can trust and love that is going to drive Auxly to profitability. While aggressive price investments by some of our peers and a few operational and supply chain hiccups did impact our share in some product formats, we remained the number one company in the 2.0 market segment and we maintained our top five position total market. We also increased our distribution footprint to 93.6% in the quarter, that's up from 92% last year and our brands continue to resonate with consumers with Back Forty, in particular, now the number one brand in vape and the number four brand in flower nationally. And our leading innovation platform was hard at work, launching 10 new products during the quarter including another first-to-market with our Kolab Live Rosin Chew and our entry into minor cannabinoid rich vapes with our Foray Blueberry Gelato Cartridge. On slide six, we have a few Q1 highlights and I've already covered most of these highlights and I don't want to cover too much of Brian's presentation, but I will just call out two points here. First, while we grew revenue 147% year-over-year, we did see a 23% decline in revenue quarter-over-quarter and that decrease was attributable to recurring Q1 seasonality, where we have seen Q1 sales generally lag Q4 sales in our industry. Now that said, we were able to manage this dynamic better this year than last with revenues down 23% quarter-over-quarter compared to last year where they were down 47% over the same period. And we did experience some operational and supply chain challenges, which I'll discuss throughout the presentation. Secondly, I'll call out the 16% blended gross margins noted on the page. Brian will elaborate, but I note that absent impairments primarily related to the shutdown of our Auxly Annapolis facilities, our gross margin would be about 3% higher than our Q4 margin. Turning to slide seven, as already stated Auxly remained the number one LP in the 2.0 market segment and the number five LP total market. And like last quarter, where you would have seen this slide before, there remains a sizable gap between Auxly and the number two producer in the 2.0 segment, and it is an increasingly tight race for the number one spot, overall total market. Now, while our position relative to our peers and gaps in market shares between us remained relatively consistent, we did lose market share relative to Q4 of last year, which was primarily driven by aggressive price investments by some of our peers, especially in vapes, which we chose not to follow in the quarter and some operational supply chain hiccups which are largely behind us, but which did result in significant availability constraints during the quarter in vapor, concentrate, and dried flower format. On slide eight, we can double click into our market share performance on a product category basis and I'll focus here on the categories that saw decline. So, starting with vape, while vape continued to get more competitive quarter-over-quarter with 51 new SKUs and 10 new brands entering the category, the loss of vape share was primarily driven by aggressive price investments by some of our peers. We also suffered a material shipping delay of hardware during the quarter due to lockdowns in China. This resulted in us being out of production on some of our most popular Back Forty vape carts for close to a month during the quarter. But I would note that even with our competitors taking unsustainable price drops to try and win share and with Auxly hampered by lack of hardware, we still managed to capture 20% of the vape market during the quarter and remain the number one vape company in the country. In concentrates, we saw a marked increase in competition, primarily as a result of the explosion of infused pre-rolls which fall into this category. We also encountered supply chain issues with third-party manufacturers and packaging suppliers, which resulted in a severe under supply of our most popular SKUs during the quarter. We did take steps to fix this during the quarter and I'm happy to say that our supply constraints have eased and we've already seen the concentrate share rebound in April. In dried flower formats, as you can see, we managed to increase share slightly in dried flower, but lost a little share in pre-rolls. Overall, I think these results are encouraging as we did experience some temporary operational issues in Auxly Leamington which impacted our yields quarter-over-quarter. We experienced an approximate 25% drop in our yields during the quarter. And given the lower yields, we prioritize the dried flower format to pre-rolls, but we still experienced constrained availability in both formats. Overall, I think we managed the situation well and we're able to protect our flower and pre-roll shares, but we do feel that we left share on the table in both of these categories. Brian will talk about Auxly Leamington later in the presentation, but I'm happy to say that the yield issue is behind us. Thanks to a mix of ramping facility utilization and process improvement, we are now seeing record yields and all-time highs from a quality perspective, which consumers of our latest drops of Wedding Pie and Mandarin Cookies have noted and applauded. On that note, I want to move us to slide nine. While seasonality, aggressive pricing in vape and temporary operational and supply chain challenges impacted our quarter, we remained confident in our ability to win with consumers, continue growing, and achieve our strategic goals. So, how are we going to do that? First, as I already mentioned, our supply chain and operational challenges are largely behind us in our production constraints have eased. That's the most important step, getting our products into distribution because when our products are in market, they're undeniable. We will continue to receive additional automation equipment throughout the course of the year and continuously improve processes to drive further efficiencies, the flower yield, and vape hardware issues are behind us. Secondly, we will continue to give our consumers the new and exciting products that they crave. Newness continues to be a key purchase driver in our industry. So, while our competitors fight to capture share through price investments, we'll continue to delight our consumers by redefining categories with fresh new products. We released 10 new SKUs in Q1, we plan to introduce 20 more in Q2, as we target 60 new SKUs during the course of 2022. And notably, we are focusing our innovation on product categories, which best advance our strategic goals. For example, in vape, we will expand our Back Forty vape family by launching new unique strains like the recently released Strawberry Cough. We continue to premiumize our Kolab vapes with the highest quality inputs, such as the recently launched Kolab Live Rosin Cartridge and with the launch of Foray's Blueberry Gelato Cart, we have expanded Foray's vapor offering to include formulations rich in minor cannabinoids. In dried flower and pre-rolls, our Back Forty consumers have been asking us for a sativa strain and we have delivered with our Mandarin Cookies strain in both dried flower and pre-rolls which we launched this month to great success. And on slide 10, we're going to continue building our brands to win consumer awareness, trust, and loyalty. We're very encouraged by the progress of Back Forty continues to make with a relatively small portfolio of products. It is the number one vape brand, has grown to the number four flower brand, and we continue to see Back Forty innovations get incredible traction in market. We believe the Back Forty can be a top three brand total market by end of this year. We also continue to see great traction for our Kolab and Foray brands. With Kolab, we will continue to focus on higher potencies and true-to-plant experiences that our Kolab consumers demand. Most recently we launched a series of solventless extract products in edible, vapor, and concentrate format and with Foray, we're focusing on product attributes and differentiation with our novice consumer in mind by introducing fast-acting formulations and products rich in minor cannabinoids. Finally, while the wellness segment of the market has been slower to develop, we are continuing to see growth in our Dosecann products, and will introduce a new topical and new high potency oil products throughout the year. I'm going to stop here and now turn over the presentation to our CFO, Brian Schmitt to walk you through the financial results. Brian?
Brian Schmitt: Thank you, Hugo and good morning, everyone. If I could get everyone to turn to slide 11 for a quick snapshot of our historical revenue and total market share and further details for the quarter. On the left side of the slide, you will see that the seasonal impact of retail sales was evident in the first quarter, similar to the pattern during the same period of 2021. Our share of market for the quarter was 6.9%, a slight decrease from the fourth quarter where we ended the year with 7.4% market share. However, we continue to hold our position as the top five LP in the country by total sales. On the right side of the page, Auxly reported CAD22.6 million in net revenue in the first quarter of 2022, an increase of 147% year-over-year where we've continued to drive significant improvement in our Cannabis 1.0 sales, which accounted for approximately 39% of total revenues as a result of our expansion into the competitive dried flower and pre-roll categories, while maintaining our number one position and Cannabis 2.0 sales, which accounted for approximately 61% of revenues. While revenue decreased from the fourth quarter of 2021, we were encouraged by the lower rate of change as compared to the first quarter of 2021 despite a few notable impacts that Hugo touched upon earlier. These were decreased flower availability during the winter months in Auxly Leamington and the impacts of COVID-19-related lockdowns in China on our supply chain and inventories. These impacts are now behind us, however, I will provide additional comments regarding Auxly Leamington in a few moments. The next slide, slide 12 captures our gross profit margin, adjusted EBITDA, and net losses for the quarter. Our gross profit margin for the first quarter was 16%, a decline year-over-year, however, a slight improvement over the fourth quarter of 2021. This quarter, gross profit margin was impacted by the impairment associated with the closure of the two Auxly Annapolis facilities as announced on February 7th of this year. The charges related to these closures were approximately CAD5 million, which had a net impact of approximately 4% as indicated by the gray in the bar chart, which would have otherwise resulted in a gross profit margin of 20%. Similarly, while not on the slide, the cost of finished cannabis inventory sold margin, which excludes fair market value adjustments and impairments was 23%, a slight decline from the prior same period in 2021, however, an increase of 3% over the previous quarter. And adjusted EBITDA loss of CAD5.6 million for the quarter was an improvement of approximately 14% year-over-year, primarily as a result of increased gross profits, partially offset by higher SG&A to support Cannabis 1.0 product sales and selling expenditures. Adjusted EBITDA for the quarter was also better than the fourth quarter of 2021, despite the seasonal decline in revenues, supported by slightly lower SG&A of CAD12.8 million, which included the first full quarter consolidation of Auxly Leamington. And finally, the net loss for the quarter was CAD39.8 million, of which CAD25.7 million was related to the closure of the two Auxly Annapolis facilities as indicated by the gray bar graph. The details of those charges are found in Note 27 of the financial statements. Turning to slide 13, I'd like to spend a few moments discussing our major facility and some of our recent developments. As we've noted previously, we acquired this cornerstone asset in November of last year. This is a purpose-built facility and one of the top greenhouses in the country, which presently grows one of the most popular flower strains in the market. During the quarter, we began to further utilize the available post-harvest space to assemble the automated pre-roll packaging equipment, which was received during the quarter. As we continue to commission the machine, we're also looking to bring on further capabilities to both increase production and reduce costs for pre-roll sales opportunities. As outlined on the right portion of the slide, during the second half of 2021, Auxly Leamington was producing approximately 48,000 kilograms of cannabis annually. Since that time, we have increased production to meet consumer demand to where we are presently harvesting approximately 75,000 kilograms. As noted earlier, we did experience lower flower availability during the winter, as indicated by the line chart below. This impasse was most significant during January February, but has improved strongly in March and year-to-date. Please keep in mind, the gross profit margins from Auxly Leamington is only realized upon product sale to our wholesale provincial customers and that harvest of flower products may only be available at a retail location one to two months later. Despite these challenges, we are very encouraged by the current flower availability and how that will support stronger future sales and gross profit margins in the second and third quarter. With that, I'll turn it back over to Hugo.
Hugo Alves: Thanks Brian. Before I open the floor to Q&A, I'll conclude by saying that Q1 was a challenging quarter. Some of those challenges like seasonality were expected, others like the vape hardware shortage were harder to foresee. But we believe that the operational and supply chain headwinds are behind us and our operational efficiency and throughput is getting better and better. We remain the number one player and vapor, the number one player in 2.0 overall, and we continue to build a leadership in dried flower and pre-rolls. We grew our revenues 147% year-over-year and we are aggressively adding to our product portfolio with insights driven innovations and seeing those innovations succeed in market. And finally, we are continuing to see increases in brand awareness, trust, and loyalty among our targeted consumer segments. So, we think there is a lot of reason for optimism, we are seeing strong sales momentum in Q2, and we are confident that we remain on track to meet our strategic goals. As always, I want to thank you for your time and your interest in Auxly. And I'll now turn it over to the operator to open the floor for Q&A. Thank you.
Operator: Thank you. And ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] And your first question comes from Frederick Gomes from ATB Capital Markets. Please go ahead.
Frederick Gomes: Hi good morning, Hugo and Brian. Thanks for taking my questions. Mayne to start off just regarding your adjusted EBITDA targets for this year. Could you remind us some of the assumptions that stand behind that goal of reaching adjusted EBITDA positive, no jumps off sales and gross margins? And also, could you tell us how confident are you in reaching that target by the end of this year? Thank you.
Brian Schmitt: Thanks Frederick. I'll take that question. Certainly, we've indicated on the last call that we are looking to be adjusted EBITDA positive in H2 2022. The key assumptions behind that are the inclusion of Auxly Leamington gross profit and adjusted EBITDA from that facility, which again previously buying all our products effectively wholesale. So, like many other LPs, we will now benefit from the positive results from Auxly Leamington. And in addition to maintaining our SG&A at present levels absent charges that naturally increased with increased revenue, we do intend to hold SG&A relatively flat. And the major driver in respect of adjusted EBITDA, in addition to the margin pickup from Auxly Leamington is revenues as we are targeting by the end of the year to be revenues in the next CAD30 million to low CAD40 million per quarter.
Frederick Gomes: Okay. Thank you. That's helpful. And then maybe more of a big picture question. I guess when we look at other LPs, not only Auxly, we see that you have a lot of market share volatility and many of them are losing share. Many of them reported very challenging Q1 results. And even so you're saying that you have some difficulties in terms of share, because other LPs are competing too aggressively on price. So, I'm just curious where do you see this going? When will this environment normalize just considering that the broader macro environments just difficult right now, in terms of raising capital and still you have these LPs unprofitable and being too aggressive in terms of pricing? Thank you.
Hugo Alves: Hi Frederick. So, let me let me try to unpack that one a little bit. Look, in terms, we are seeing some significant price investments by some peers, we obviously monitor the vape segment very closely. And we'll look like from a revenue management perspective, what makes the most sense for Auxly. But as I said, in terms of, of our strategy and what we're looking to do, we think that when our products are in market, we've done all of the right things to have broad distribution, brand build, and really focus on the quality, safety, and efficacy of our products, to drive consumer trial and then repeat purchase. So, we're confident that with the supply chain operational headwinds behind us, especially the very encouraged by the increase yields at Auxly Leamington, with the growing distribution, the increases in brand awareness, and loyalty that we're seeing with our brand family and of course, with our sort of industry leading innovation, our ability to really turn insights into differentiated products that resonate with our specific consumers, we feel confident in our ability to meet our strategic goals this year.
Frederick Gomes: Okay, appreciate that. Maybe just the last one for me. You mentioned distribution, do you have any update on Quebec? Thank you.
Hugo Alves: Yes, sure. So, Quebec, we -- look we're not in Quebec yet. We're continuing to work with the SQDC to see how we can bring value to the -- their assortment. It's well -- been well-documented. It is a tougher market to get entry into, but we're continuing to explore. But nothing -- no new significant -- nothing new of significance to report this quarter.
Frederick Gomes: Okay, appreciate it. I'll hop back in queue. Thank you.
Operator: Thank you. And your next question comes from Michael Freedman from Raymond James. Please go ahead.
Michael Freedman: Hey, good morning Hugo, Brian, Michael, and Julie. Congratulations on moving up in the overall LP market share standings. We have yet to go number four, but number five is still pretty darn good. I wanted to ask you about these seasonal effects like we've been seeing them across the industry recognize that there is the generally seasonally soft sales. But I wonder if you could tease apart for us, again, sort of the -- sort of market-driven sales dynamics that happen sort of going from fourth quarter to first quarter? And then sort of Auxly-specific dynamics and also touching on how you're able to better manage that seasonal impact this -- sequentially this year and how you might be able to further smooth that in future years? Thanks.
Hugo Alves: Yes, sure. Why don't I take a stab at that one and then Brian, or Mike, if you have any additional color, please feel free to jump in. So, Michael, I think in terms of how we were able to better manage it, I think first, we knew it was coming, so we were able to work with our provincial customers to sort of plan ahead a little bit better. And we have a larger portfolio, right? So, a seasonal impact in one format or a brand family or a set of SKUs is less impactful than it was last year. So, I think we were able to manage it better through foresight and scale. In terms of how those dynamics work, I think like other industries, there is some seasonality after the year end period, where people generally tend to spend a little bit more. And then our provincial customers, while they also work to improve on this, there is a slight change in their purchasing patterns as they approach their March 31st Q1 year, year-end. So, you see a little bit I think, on the consumer side, but then also a little bit on the customer side during Q1 drive some of that seasonality. And in terms of how we'll manage it better in future years, again, is continuing to work with our provincial control board customers to smooth out the supply a little bit, they'll obviously get better, we'll get better over time, this is only the second Q1 that we've had. And again, our portfolio will increase over the year. So, that will kind of mitigate any little spikes that we might have in a category or certain brands. Brian, Mike, open to you if you want to add further color.
Brian Schmitt: I think that was a complete answer.
Michael Freedman: Okay, all right. That's really helpful. I wonder if we can talk about the past to positive EBITDA in the back half of the year. I -- we've spoken about margin pickup related to Auxly Leamington facility, the installation of automation equipment, and how those will be realized in a sort of stepwise and delayed fashion? I wonder how -- where we should expect to see margin pickup from these and other factors as you proceed towards your goal of positive EBITDA?
Brian Schmitt: Thank you, Michael. The -- really [indiscernible] that you've actually highlighted and communicated previously, is somewhat fundamental on the pre-roll side that presently we do not have the full automation, we do have a lot of labor associated with packaging and completing those products. So, as we get the automated packaging, we will certainly pick up margin, but more important -- equally important is we will have increased sales, either the category. Pre-rolls is a growing category and we believe we can capture further market share. And we are limited to our ability to sell those products into the market to the extent we wish to. So, it's -- on the pre-roll side in particular, it's partially automation and increased volume which will be both beneficial to margin. In terms of Auxly Leamington as we've previously outlined, now we are on an equal footing with all the other LPs in the sense that we are no longer buying B2B from the wholesale market for our input materials. Substantially, all of our input materials now come from Auxly Leamington and as such Auxly Leamington is highly automated and the cost structure for that facilities improving quarterly, such that we will pick up both gross profit and EBITDA from the facility, as those products are ultimately sold through our brands and are sold to our wholesale partners. So, there is a slight delay from harvest -- from [indiscernible] being intended to ultimately sold.
Michael Freedman: Okay. Okay, that's really helpful. Now, if you would indulge just one more question for Michael. Recognizing that there was a dip in absolute terms in market share this quarter, I wonder how Auxly seeks to win this back through innovation and wondering what consumer trends you're seeing and how you might invest in innovation to meet those needs?
Michael Lickver: Yes, thanks, Michael. I think the strength of our innovation portfolio has built up a lot of credibility in the market over the past two years and some of the trends we're noticing that we've been on the forefront of similar to what Hugo had mentioned in his script, we're seeing minor cannabinoids and we're seeing variations and premiumization of inputs around the date formats. In addition to that I think we've seen over the past four months, a category of infused pre-rolls going from not existing at all to being incredibly fast-growing and very popular amongst consumers. And then on the flower side, similarly, high THC generics are still winning the day and the investments we've made and commit to continue making at Auxly Leamington to select those unique genetics will continue to win in the market. So we get a combination of all of those trends. Our innovation portfolio seeks to address all of them. We always root everything we do deeply in consumer insights and start from there and go into product development. So, you'll continue to see that from us throughout the year as we continue to fight and grow share about.
Michael Freedman: Terrific, great. Thanks very much. I'll pass it on.
Operator: Thank you. [Operator Instructions] And your next question comes from Venkata Velagapudi from Research Capital. Please go ahead.
Venkata Velagapudi: Thanks for taking my question. Most of my questions on my list are already asked by previous analysts. But I still have two more questions. First thing is, you mentioned in your presentation that 85% of sales are coming from Ontario, BC, and Alberta. So, I just want to know like, Do you have any guidance over geographic diversification? Yes, maybe your entry into Quebec may diversify geographically to some extent, but do you have any guidance over this?
Brian Schmitt: Hi. In respect of the three largest provincial customers is Alberta, BC, and Ontario, the 85% of sales is fairly consistent with our quarterly results in previous quarters. We are not in Quebec, so that distribution will change once we get to Quebec, but in all material respects, most of our sales come from those three provinces. And then obviously the remaining circa 15% come from all the Atlantic provinces and Manitoba and Saskatchewan.
Venkata Velagapudi: Okay.
Hugo Alves: Yes, I'll just jump in. I would say that we absolutely are trying to get into Quebec. I think Auxly Leamington in the scale, there also gives us the ability to consider other opportunities, which we are monitoring in select international jurisdictions that we find of interest. So, we will continue to look there and try and get into Quebec as a way to expand our geographic footprint.
Venkata Velagapudi: Yes, that's great. And my one more question is do you see any regulatory support or do you have any visibility over regulatory outlook that may improve the prospects of Canadian cannabis LPs. I understand that the legal LPs have a lot of competition, but is there any -- do you see anything -- any support from a regulatory point of view that may help you to gain market share from illicit market?
Hugo Alves: Yes, look, that's a great question. And I'll take a first stab at and then -- Mike, if you or Brian want to add some additional thoughts, go ahead. So, we are obviously very keenly focused and follow the regulatory developments and I think there are some useful proposals out right now in terms of excise tax, potential excise tax reform, and things like that, that could help with cash flow issues. We are monitoring the sort of vape regulatory framework very closely to make sure that we're able to respond to any changes in the regulatory framework quickly, and not lose share. And in fact, use it as an opportunity perhaps to advance attain share relative to some of our competitors that might not be able to move as quickly. So, we are encouraged also, by the increasing progress that's been made internationally on the -- in from a regulatory perspective, where it could present opportunities for Canadian producers? Brian, Mike, feel free to jump in with any additional points?
Michael Lickver: No, I think that was a complete answer Hugo.
Venkata Velagapudi: Yes, that's great Hugo. And lastly, you mentioned that 10 new SKUs were launched in Q1. Just want to know how many of them were launched in Ontario?
Hugo Alves: Mike, why don't you go -- Mike, I believe all of them are launched in Ontario, but Mike can confirm.
Michael Lickver: Yes, that's correct. All of them.
Venkata Velagapudi: Okay, perfect. That's it for me. Thanks a lot.
Operator: Thank you. And there are no further questions at this time. So, ladies and gentlemen, this concludes your conference call for today. We thank you very much for participating and ask that you please disconnect your lines. Have a great day.